Helen Jing Zhu: Welcome to Cheetah Mobile's Third Quarter 2015 Earnings Conference Call. With us today are Mr. Fu Sheng, CEO and Mr. Andy Yeung, CFO. Following management's prepared remarks we will conduct the Q&A session. Before we begin, I refer you to the Safe Harbor Statements in our earnings release, which also applies to our earnings conference call today, as we will make forward-looking statements. At this time, I would now like to turn the conference call over to our CEO, Mr. Fu Sheng. Please go ahead, Mr. Sheng.
Sheng Fu: Thanks, Helen. Thank you everyone for joining our call today. This was now the 30th quarter for us. Mobile MAUs has reached the 500 million mark for the first time ever, reaching 567 million users in September. Our total revenues also exceeded RMB 1 billion for the first time ever, reaching RMB 1.01 billion in the quarter. This strong results was driven by our continued success in the overseas mobile advertising business. During the quarter, overseas revenues grew the 8.9 times year-over-year and accounted for 53% of total revenues and 77% of our mobile revenues becoming a key growth driver of our total revenues and the mobile revenues. Additionally, I would like to highlight that we only launched our overseas monetization effort a year ago and how we very quickly demonstrated our capabilities to successfully monetize our global mobile traffic. [Indiscernible] an execution also yielded strong profits performance which result in our 30th records for non-GAAP operating income at non-GAAP net income in the quarter. Non-GAAP net income for the quarter was 543 million, an increase of 138% year-over-year and 24% quarter-over-quarter giving our strong business model momentum. We are confident that we are on track to meet and beat our 2015 targets of reaching 600 million MAUs. Now doubling our revenues year-over-year and reaching mobile an overseas revenues at large majority of our revenue based. We also expect this kind of obtain better anticipated profitability in 2015. Looking ahead, we believe that it's very important to building a long-term sustainable business model. So going forward we are begging to take more balance approach of our user operation [ph], user engagement revenue growth and profits. After building a strong metrics of utility apps and acquiring massive user base we are increasing focus on building a [indiscernible] of our products through both organic means and strategic investment that have higher frequency of user and higher user engagement level in terms of organically Piano Tiles 2 a light, casual mobile game that we developed, reached the number one spot in the U.S. number and five spot globally as the most downloaded ratings on Google Play in September. For strategic investment [indiscernible] compelling that we have invested in earlier this year was the number one most downloaded media and video apps on Google Play in the U.S. in September with the content [indiscernible] continue user engagement and we will introduce more content to driver our CapEx [ph] through board space our the coming quarters. As we mentioned before, we believe data analytics is a key factor for our future success, more relevant contents be it games, photos, music or apps will lead to better experience for the users and better returns for [indiscernible]. Today we can profile our user with more 500 attributes and more than [indiscernible] key words and we have developed operators that have advertisers to better [indiscernible] accounted audience on our platform. We are also developing tools to how advertisers should test, measure and improve their marching offers, while we will make some progress in this analytics we are still seeing much more room for improvement. So data analytics will be new the key focus for us for the foreseeable future. Moving to our mobile and network development, we continue to work closely with linking Internet player, such as Facebook, Google and Twitter to sell our add inventory and install innovative mobile advertising solution such as radio ads, as a remember Yahoo highlighted our [indiscernible] annual partner, discussing our instillation of Yahoo searching app. We are also pleased to have integrated Yahoo Gemini native advertising platform globally across our top performance apps. In China, we expanded our partnership with Tencent GDT during this quarter. More importantly, we're excited to launch our own Cheetah ad [indiscernible] in June. Our direct sales team had added more than 500 global clients such as Uber, Amazon, [indiscernible], booking.com, Flipkart to the platform, which facilities our team over 1,000 offers daily. In addition to the app the team developers have ad platforms seeing growing demand from e-commerce, online driver and this local service companies as well as Chinese advertiser promoting their product and service is overseas market, to better serve our diverse global user based and advertiser based, we will continue to expand our global footprint and hire global talent. Today we have set up all in the progress of switching up more than 10 overseas office in order to further enhance our localized product and service offerings. Lastly, I'd like to see, I'm very proud that we've been able to achieve in such a short amount of time, Cheetah Mobile had transformed into one of the world's leading global mobile Internet companies in only three years’ time. So, I want to thank you all our staff for their hard work and support in getting us here, but this is just a beginning of us. Looking forward, we were shift our focus from globalization to localization, investing in key markets and further localize our products offering meanwhile we prioritized that enhancement of our user engagement and user time spending over user acquisition to do that we will further upgrade our product value -- volume, introducing more complex charging products, we will also work closely with our partners to build one of the best to mobile advertising platform for the advertisers globally. With that notes, I'll stop and hand the phone to our CFO Andy.
Andy Yeung: Thank you, Sheng. Hi, everyone. Q3 was another strong quarter for us both financially and operationally, strong results were again driven by mobile and overseas operation. As Sheng mentioned, we are still in the early stage of our growth and development. Our goal is to become a leading global mobile Internet company that provides the [indiscernible] for mobile user and one of the best mobile advertising platforms for advertising globally. Looking ahead, we stay focused on building a profitable and sustained growth business model for the long-term. Taking a more balanced approach to work our huge acquisitions, huge engagement, revenue growth and hospitality. Now I will walk you through the details of our financial performance. All financial numbers are in RMB unless otherwise noted. Total revenue reached 1.01 billion, an increase of 111% year-over-year and 16% quarter over quarter, driven by organic business growth. Thanks to our growing mobile user base and strong demand for our mobile advertising services. By platform, mobile revenues were 703 million for the quarter up 522% year-over-year and 26% quarter-over-quarter. As a percentage of total revenue mobile accounted for 70% of our total revenues in the quarter up from 64% in the second quarter and 24% in the third quarter last year. In September, Cheetah has more approximately 567 million mobile MAU worldwide, a 66% increase from a year ago and 15% increased from June this year. [Indiscernible] revenue decline 16% year-over-year and 2% growth reported in third quarter, mainly due to the migration of internet traffic from PC to mobile in China. By region, overseas revenues were at 538 million for the quarter and up 892% year-over-year and 25% quarter-over-quarter As a percentage of total revenues overseas revenues accounted for 53% of total revenues and 77% of mobile revenues in the quarter, China revenues grew 11% year-over-year and 7% quarter-over-quarter with strong mobile advertising revenue growth more than offsetting PC revenue decline in China. Revenues from online marketing services were 901 million for the quarter, up 150% year-over-year and 20% quarter-over-quarter. Revenues from mobile advertising remain the key growth driver for the quarter and accounted for 72% of segment marketing revenues in the quarter, up from 21% last year and 67% last quarter. In addition to our growing mobile user base, higher average number of apps per user and higher frequency of use of mobile apps have led to more inflection available to meet the growing demand for our mobile advertising services from advertisers. Revenues from IVAS were 100 million for the quarter, a decrease of 7% year-over-year and 9% quarter-over-quarter. The year-over-year decrease was primarily due to the suspension of our online lottery operation in response to regulatory change in China. The decrease in decline was mainly due to moderating trend in web games business in China. Revenue from Internet security services and other were 9 million for the quarter, a decrease of 16% year-over-year and flat quarter-over-quarter. The year-over-year decline was finally due to a company ceasing to promote subscriptions services in a strategic reorientation which started in 2011. Moving to our costs and expenses. Share based compensation expenses for the quarter were approximately 116 million compared to 57 million in the third quarter in last year and 56 million in the second quarter this year. As we stated in the past, we will incur high SBC expenditures this year, mainly due to the share and option granted to our management and employees for attracting and retain headcount, particularly in R&D area. To help facilitate the discussions of the company's operating performance, the following discussion will be on a non-GAAP basis, which excludes stock-based compensation expenses. For financial information presented in accordance with U.S. GAAP, please refer to our press release which is available on our Web site. Non-GAAP cost of revenues for the quarter was 269 million, up 145% year-over-year and 21% quarter-over-quarter. The year-over-year increase was mainly due to higher traffics and costs associated with the Cheetah mobile app platform business, higher bandwidth cost and Internet data center cost associated with increased user traffic worldwide and data analytics, as well as higher amortization costs from intangible assets resulting from our acquisitions. The sequential increase was mainly due to higher targets in cost associated with Cheetah Mobile and platform business. Non-GAAP gross profit for the quarter was 440 million, up 100% year-over-year and 14% quarter-over-quarter. Non-GAAP gross margin for the quarter was 73.4% down from 77.1% in 3Q ’14 and 74.5% in 2Q ’15. Non-GAAP R&D expenses for the quarter were 138 million, up 15% year-over-year and 79% quarter-over-quarter. The increases were mainly due to personnel related costs associated with attracting and retaining talent in mobile and development, big data analytics and mobile app technology. At the end of the quarter, we had more than 1,400 R&D personnel. We will continue to do invest in content driven product development, data analytics, and tech in the future. Non-GAAP sales and marketing expenses from quarter were 375 million, up 128% year-over-year and 11% quarter-over-quarter. The goal was mainly attributable to increase promotion for our mobile apps Non-GAAP G&A expenses for the quarter were 95 million, up 194% year-over-year and 9% quarter-over-quarter. The year-over-year increase was due to increased professional service fees, acquisition related expenses and headcounts associated with being a publicly listed company. The sequential increase was primarily due to increased professional service fees and acquisition related expenses. Non-GAAP operating profit for the quarter was 131 million, an increase of 154% year-over-year and 40% quarter-over-quarter. Non-GAAP margin 15%, up from 10% in both 3Q ’14 and 2Q ’15. Our operating margin expansion shows that on [indiscernible] up in leverage in our business model. Non-GAAP net income for the quarter was 143 million, an increase of 138% year-over-year and 24% quarter-over-quarter. Non-GAAP diluted earnings per ADS was RMB 1.00 or US$0.16, an increase of 133% year-over-year and 23% quarter-over-quarter. To help you to get a better understanding of our -- the impact of amortization of intangible assets resulting from acquisitions on our offering expenses, we have started reporting adjusted EBITDA since 1Q '15. Adjusted EBITDA is a non-GAAP measure, as defined as earnings before interest tax, depreciation, amortization, other non-operating income and share-based compensation expenses. Our adjusted EBITDA for the quarter was 169 million, an increase of 117% year-over-year and 28% quarter-over-quarter. Now let me provide you with our guidance. We currently expect total revenues for the fourth quarter to be between RMB1.1 billion and RMB1.16 billion, representing 88% to 97% year-over-year increase. Please note, this forecast reflects the Company's current and preliminary view and is subject to change. And with that, we conclude our prepared remarks for today. Operator, we are ready to take questions.
Operator: Our first question is from Jeff Hao of China Merchants. Please go ahead.
Jeff Hao: Good evening. And thank you for taking my question. [Foreign Language] My question is regarding the competition in the overseas market and we're seeing that more and more Chinese companies are climbing up the download -- the global download, working table recently and will that effect company's strategy in terms of user acquisition and the monetization progress and then relating to that can the management gives us some updates on your construction of your echo system maybe some more some example other than -- don't have the [indiscernible]. Thank you.
Fu Sheng: Okay. Andy will translate for me. [Foreign Language] Okay. So let me translate that. So on, in terms of competition yes, there's more competitions in overseas market, we see -- getting more competitions, but I don't think there is overall impact on leadership position from those competitor, the main reason is because if you look at the [indiscernible] and then benefit of used -- or customer adoption is pretty much over and fresh holiday for to get new users there. So that new users mainly coming from developed countries and [indiscernible] spend a lot of money, [indiscernible] and values to that way. But for example, Indonesia, India and these places, we all have presence in those countries, we will also spend money and aggressively promote our product in those countries well. So, I think in addition to that, you also noticed that overall we have a very large user base worldwide, and we're able to acquire users in terms of electronic and also through promotional activities and cross promotional activities and so I think, once our user based multiple times bigger than in terms of our competitor and it’s important to overcome our leadership position there. And secondly, in terms of the other part category besides up to [indiscernible] quarter we’re seeing some Chinese [indiscernible] spend lot of marketing dollar on share restructure time and we’re able to grow the ranking on parallel and whatnot. But recently as you can all observe even their ranking adjustment from the [indiscernible] mainly the main reason especially because very difficult to retain the retention rate at least from the new product that does not have inherently have a good our product strengths or quality to attract the user to continue the product. And so still for that we’re taking that that one now perfect competition product. [Foreign Language] So to sum up the question about would the competition impact our ability to monetize overseas, I think it [indiscernible] obviously the fact we think about it we would actually strengthen our position in overseas markets. If you go to our competitors, they don’t really have a good proposition [indiscernible], so they are at least one to two years behind us in terms of monetization. So we will obviously continue to focus on finding better way to monetize our user traffic, the better we can monetize our user traffic the better we can sustain and maintain our lead in terms of overseas market. [Foreign Language] So in terms of ecosystem I think we will use when pricing is positive we would be all in to get it done, so we have [indiscernible] of the past we know trending over the past couple of years to accumulate a very large user base of almost 100 million users mobile users. So we think that by end of the year we will achieved that goal of supply stay very [indiscernible] user base. So we will turn our focus increasingly on these engagements and we would give up more products that have [indiscernible] views and high inflation level going forward. So the exact roadmap, are we not going to focus at this time, but we look forward to in the coming quarters. [Foreign Language] So lastly, let me emphasize this one more front which is in the past two years -- two years ago when we started to aim for higher margin, large massive user base overseas certain people actually believe us, and we have achieved that, I think this year will have [indiscernible] 600 million user base and if you look at the amortizations when we started about almost two years ago, also there is a lot of pressure about ability to monetize our user base and I think we would have to we have demonstrated I think [indiscernible] capability. And so looking forward, we could develop more content driven products and I think we’re talking that also [indiscernible] people on the [indiscernible] front, but on the product development side.
Operator: The next question is from Wendy Huang of Macquarie. Please go ahead.
Wendy Huang: [Foreign Language] So I have two questions; first is about the margin outlook, so although you guided originally that the first -- the full year net margin for this year will be just breakeven however for the past three quarters the non-GAAP net margin all came in at double-digit. So should we expect this strong margin momentum to continue for the fourth quarter? The second question is about the global advertising market impact on your business, I think in the past few months you cautioned the market about the global advertising slowdown impact on your business and your partner such as Facebook. Do you know that Facebook released a strong quarter and although you just delivered solid quarter as well. How should we actually look at this kind of the potential impact from the global ad market? Thank you.
Andy Yeung: Thank you, Wendy. So earlier discussion, yes, so in terms of margin, I think you can look at our first three quarters we have performed better than we had expected. But as we have mentioned before, even though we have one matter we would have [indiscernible] this year but worst case scenario both less -- with the less competition and we actually [indiscernible] working the way we spend money to more how cost in addition to top execution and top-line growth we did yield better than expected margins reflecting in quarter and that demonstrates [indiscernible] in our business model. In the fourth quarter, I think the similar type of outlook we again like -- we probably if things does not deteriorate in the competitive landscape rapidly, I think we’ll probably start to see the similar expense trend come to the fourth quarter. Now looking forward to next year as I mentioned, next year we will continue invest heavily in party opponents because we have emphasized over and over that we continue to focus on party and especially in kind of driven product rollout next year and hopefully we’ll have some strong product rollout to show you guys in coming quarters. But yes in terms of public release next year we’ll take a more on support mainly next year we’ll take a more honest approach mainly because we already have [indiscernible] losses in base, we’ll continue to grow that user base, but perhaps will not have [indiscernible] bring it up this year, but we will try to lead some of those and expect them into the part one. But again we’ll caution people to be too aggressive in margin expansion and we will be more incremental in terms of margin expansion. We’ll again monitor our expansion and investments to make sure that we have a long-term sustainable [indiscernible]. So yes, generally we are looking at greater improvement in margin next year. Second part of your question which is outlook for the mobile advertising industry; yes, I think we have delivered a very sharp performance in third quarter and demographics both on some of the global companies they all have developed and delivered robust results in third quarter. But again when we look at the fourth quarter and we do see uncertainty and we want to be more dramatically prudent with our guidance. If you look at globally economic conditions outside U.S., I think in Europe in emerging market right now it's pretty tough. If you look at in China, I am not referring to Chinese economies right on [indiscernible] at this moment. So we will -- I think we will take as more prudent approach looking at market and we do see quite a bit of uncertainty in the special given the fact that we are still going at a fast level, so any small deviation from expectation will have an impact on our revenue growth. So I think our guidance in terms of outlook for 4Q is I think prudent, [indiscernible] and so have a look at the global [indiscernible] from market.
Wendy Huang: So you believe the spending focus will shift to [indiscernible] R&D next year, right?
Andy Yeung: Obviously, R&D has shown some operating leverage, in the quarter like significantly will below the sequential growth, but we’ll continually focus on R&D and we’ll beginning to start working on [indiscernible] more measured growth on our marketing special. But if you look at our quarter is for which show overall open leverage in [indiscernible]. But we are spending little bit more on R&D going forward, we’ll be a little bit more prudent with some expenditure, overall I think, you will see from returning of our effort leverage in our business model in the coming quarters.
Operator: Our next question is from Evan Zhou of Credit Suisse. Please go ahead.
Evan Zhou: [Foreign Language] So two questions, one is overseas gain revenue strategy because the Piano Tiles 2 has been progressing pretty well in this quarter and has been crunching in revenue numbers in the pretty decent way. So I just want to hear more from Fu about what our strategy in terms of development in paying revenue in 2016 and we will be more using in-house approach or more likely recognizing for corporation approach on that. And second question is regarding that you updated from nowhere Cheetah add platform revenue, what's the contribution at this point and how do we see the potential impact in the profit margin, thank you.
Andy Yeung: Okay. [Foreign Language] So, let me translate that answer. For the first question, so regarding our -- sorry -- [Foreign Language].
Fu Sheng: So regarding our content strategy, I think game are prestigious one, it's not the only one. I think, obviously game is easier way to understand a tough content environment that's we have mentioned, we've invested in multiple other certain different part and 100 in games [ph] and so beside Cheetah this carnival will -- that it will involve in the coming quarters. And I think it would help us to increase both easier engagement and [indiscernible]. So that's in term of how important shares that. The thing actually you have to know growth margin -- impact of gross margin coming from platform business, I think -- organic inventories and for example even if the mass majority on almost 90% of our online marketing expenditure -- mobile advertising percent. But for certain that like to move ahead platform have lower gross margin mainly because it obviously is using third party adding entry. So as we mentioned in the last quarter, that business generally have 20% to 30% gross margin, so we would have impact in terms of use accessing cost as soon as user traffic in cost [indiscernible]. If you look at overall of introduction [indiscernible] we're stable so I think last quarter, this quarter we had 1% variations that -- which is within assessment in that, we're expecting 74% and minus 1% gross margin for our third quarter and that came in pretty much in line with what we expected. So all of you know next year may have [indiscernible]. I think [indiscernible] giving the organic business is still going to be the main focus, we have -- when we expect significant gross margin deterioration in some of our [indiscernible]
Operator: Our next question is from Henry Guo of Summit Research. Please go ahead.
Henry Guo: [Foreign Language] So my questions, I have two questions first question is about the guidance the Q4 revenue guidance, could Andy provide more colors in terms of different business segments in terms of the Q4 top line and also my second question is regarding the mobile advertising. So you guys provided the breakup of domestic advertisers and the international advertisers? Thank you.
Andy Yeung: Okay, so I think we certainly guided, we guided to RMB1.11 billion to RMB1.16 billion and obviously, we also have our cap rate in Q4 so we have through the early part of quarter I think as we are [indiscernible] online market substance particularly in global [indiscernible] will remain the key driver for our growth and we don’t see that changing in the fourth quarter. So we do expect mobile revenues and overseas revenues to remain the key driver for our revenue growth in the fourth quarter. If you look at on the PC side which is mainly in domestic China, the PC business both in terms of games and also in terms of online marketing services do experienced some weakness in China and that has lot of to do with Internet usage in China moving quite rapidly from PC to mobile. And so if you look at the trend line, we expect the trend to continue. So in terms of mobile games we would continue to experiment with the mobile game operations. We are very happy with the fact that our [indiscernible], but still I think if you look at our [indiscernible] our business will be coming from mobile, mobile first and then and that with the mobile will be driven by our overseas operations. And we are also anticipating mobile [indiscernible] in China to be [indiscernible] robust, but the mobile online PC side I think both from the retail online marketing side and also games will be off for three week and as we mentioned we saw decline there in the quarter we expect that to continue in the fourth quarter. So that is our guidance. In terms of the second question which is sorry can you repeat the second question?
Henry Guo: The mobile advertiser breakup in terms of domestic?
Andy Yeung: So don’t breakdown advertisement by domestic hold fees. I think that’s too granular how obscure what’s happening. But what I can say is that back in China when we do have a best [indiscernible] direct sales team, that have sales mobile advertising services even before the attack from the intruder that’s back on [indiscernible] begin to operate our service [indiscernible] is on GDT and [indiscernible]. So we have lot of history and stronger south-ancient from China. Overseas teams has done a wonderful job that’s to mention if you look at since -- over there since we launched the product we have to edit more than 500 advertisers to achieve more backlog and now we have more than [indiscernible] campaign on a daily basis. So I think that would continue especially we have change in our offering overseas, we offer increasingly mobilize some of the products and services including open up offices in overseas markets and so we do expect about [indiscernible] contribution is going to rise in our overseas sales operations.
Operator: Our next question is from Thomas Chong of Citigroup. Please go ahead.
Thomas Chong: Thanks for taking my questions. [Foreign language]. So basically one question the question is about the breakdown in terms of the user base and advertising revenue coming from Clean Master, CM Security and other applications. Thank you.
Andy Yeung: Hi Thomas well thank you for the questions. As we mentioned before like we would not breakout revenue in general or our usage into product and especially MAUs the main reason for that is as we mentioned before we account for monthly active user and is defined as on a [indiscernible] basis. So a user could have multiple application on handset and that’s only counted as one user. In fact if you have looked at trend of the cost year or two we have seen that in the both application curve MAU rising over the last couple of year. Today we have more than 1.4 apps per MAUs. So it's very difficult for us to say like X user is coming from Clean Master or Y user is coming from CM Security. Now obviously, Clean Master remain largest applications in terms of user base, CM Security have risen quickly and it has achieved quick success. I think if my memory serves me right, it is gradually growing assent and Clean Master was only 1.5 years old. So in that -- in terms of user base, but we all have a number of very subsequent quarter we have launch [indiscernible] past the quarter [indiscernible]. In terms of monetization is the same thing, we don’t usually bring it out by product moving sequence and we’ll not and what we can say is that for certain there is some correlation between the users, [indiscernible], it's maybe engagement in terms of know them [indiscernible] mobile advertising revenues. So obviously Clean Master, CM Security they are some large applications and you know also have some very large contribution to revenues. But we also solidify cloud portfolio. So if you look at our CM Browser, Launcher they all have achieved critical mass and we have to [indiscernible].
Operator: The next question is a follow-up from Wendy Huang of Macquarie. Please go ahead.
Wendy Huang: [Foreign language]. My question is Tencent [ph] related. So recently you announced the Board changing and adding one person from Tencent. Does that mean there will be more collaboration between the two companies? And in your prepared remarks you mentioned your preparation with Tencent [indiscernible] GDP system, so besides the GDP, Tencent was the reason to release some additional advertising product and inventories, should we expect some more preparation between the two companies on those things? Thank you.
Fu Sheng: [Foreign language] So thanks Wendy for your questions. In [indiscernible] today in the change of [indiscernible] positions, I would just make a clarification, Tencent did not have better than new [indiscernible]. In fact as the replacement previously [indiscernible] also from Tencent was a board director but he has left Tencent and so Tencent broke up with Mr. Lee [ph] so in that sense -- Tencent remains [indiscernible]. So there is no change in [indiscernible] from Tencent. [Foreign language] So in fact from GDP obviously we have extended our cooperation with [indiscernible] in last quarters, in fact in the quarter we have with [indiscernible] between our transactions with Tencent mainly due to the [indiscernible]. So GDP obviously right now is the [indiscernible] improve that they are one of the better quality app platform in China and also our difference also indicate that quite strong our advertising between all the years in China. So we certainly would look forward to expanding our cooperation with Tencent and [indiscernible], but even though they have shareholder and we always looked out for interest of our Board and shareholder, I mentioned Tencent and so that probably from Intel looking out for interest [indiscernible] view. So we'll continue to look forward to working with [indiscernible] we've also worked with -- our there -- platform in China. So, but if you will take [indiscernible] in a month of [indiscernible] so we look forward to expanding our operating income.
Wendy Huang: [Foreign Language] So my question is actually more coming from whether you're working with Tencent other than the existing one into one system because we noted that [indiscernible] recently expanded their corporation with Tencent beyond the [indiscernible].
Fu Sheng: [Foreign Language] So, for Tencent, I'd say, we'll [indiscernible] Tencent in some areas, so if you look at advertising we also use Tencent’s [indiscernible] for example and we'll continue to look forward follow explore our way to extend that partnership for sure. In terms of in particular -- how that [indiscernible], we don't have much comment on that. [Foreign Language] So, let me just talk a little bit of our rough news in our locations. So, compared to a year ago or two years ago when we first did our IPO, customer verification send a significant wave in China, and some example even with expended tax limit, 240 million for 2015 [indiscernible] a small portion of overall revenue. In fact our reliance on PAG in China has quite significantly had some to grow our mobile business and so I think we go forward and we'll continue to see that trend. Obviously last year we continue to expand and corporate with the Tencent and other key player in China, but I think there wasn't constitution as a percentage of our overall revenues would continue to moderate.
Wendy Huang: [Foreign Language] So you just mentioned that the PAG's contribution to your business has been decreasing but I just wonder if you can just give us a rough ranking amount those three, regarding their revenue growth contribution to your business. Thank you.
Andy Yeung: Thanks for follow up questions. I think what we've faced that we would not breakdown individual customer contribution at this time. If it does any of those customers exceeded for the [indiscernible] we’ll disclose that in our annual report. But as we mentioned before in overall for the PAG customer, concession and then there is not any ranging below, the last customer in China, their contribution to our overall revenue continues to be moderate even though -- we see growth from those customers, that's the trend but we won’t breakdown reference contribution of the ranking of the reference contribution [indiscernible] at this time. So thank you for your questions. That's [indiscernible].
Helen Jing Zhu: Thank you all for joining us today. If you have any questions please do not hesitate to contact us. Thank you. Bye.
Fu Sheng: Thank you. Bye.